Operator: Good day, and thank you for standing by. Welcome to Emergent BioSolutions Inc. Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press star one one on your telephone. You will then hear an automatic message advising your hand is raised. Please note that today's conference is being recorded. I would now like to turn the call over to Frank Vargo, VP Assistant Treasurer. Please go ahead.
Frank Vargo: Good afternoon, everyone. Thank you for joining today as Emergent BioSolutions Inc. discusses their operational and financial results for the fourth quarter and full year of 2024. As is customary, today's call is open to all participants. And the call is being recorded and is copyrighted by Emergent BioSolutions Inc. In addition to today's press release, there's a series of slides accompanying this webcast available to all webcast participants. Turning to slide two. During today's call, Emergent BioSolutions Inc. may make projections and other forward-looking statements related to their business, future events, their prospects, or future performance. These forward-looking statements are based on their current intentions, beliefs, and expectations regarding future events. Any forward-looking statements speak only as of the date of this conference call. And as required by law, Emergent BioSolutions Inc. does not undertake to update any forward-looking statements to reflect new information, events, or circumstances. Investors should consider this cautionary statement as well as the risk factors identified in Emergent BioSolutions Inc.'s periodic reports filed with the SEC when evaluating their forward-looking statements. During today's call, Emergent BioSolutions Inc. may also discuss certain non-GAAP financial measures that involve adjustments to GAAP figures in order to provide greater transparency regarding Emergent BioSolutions Inc.'s operating performance. Please refer to the tables found in today's press release. Turning to Slide three. The agenda for today's call will include Joseph Papa, President and Chief Executive Officer, who will comment on our multi-year transformation progress, and Richard Lindahl, EVP and Chief Financial Officer, who will speak to the financials for the fourth quarter and full year 2024, as well as provide full-year guidance for 2025. Joseph Papa will conclude by discussing the 2025 business outlook and key growth drivers followed by Q&A. Finally, for the benefit of those who may be listening to the replay of this webcast, this call was held and recorded on March 3rd, 2025. Since then, Emergent BioSolutions Inc. may have made announcements related to topics discussed during today's call. With that, I would now like to turn the call over to Joseph Papa for opening remarks. Joe?
Joseph Papa: Thank you, Frank. Hello, everyone, and thank you for joining us to discuss our fourth quarter and full year 2024 earnings. I'm joined today by Richard Lindahl, our Chief Financial Officer. I'm pleased to be here today to share with you updates on our business, including our contributions to protecting public health, as well as the opportunities in front of us. Following my opening remarks, Richard will detail our fourth quarter and full year 2024 results as well as provide 2025 guidance. We will close the call with a discussion of our business outlook and our path forward into 2025 as we look ahead to continue the significant progress on our turnaround efforts. And we'll open up the call for Q&A. I'll now begin on slide five. I joined Emergent BioSolutions Inc. and this leadership team one year ago to turn around the business and focus on our company's mission to protect and save lives. For more than twenty-five years, Emergent BioSolutions Inc. has responded to solutions to complex and urgent public health threats, with preparedness efforts and active responses. However, the company needed to reduce its debt, improve profitability, and pursue future growth in a rapidly evolving way. Turning to slide six, our team immediately went to work developing and implementing a multiyear transformational plan to stabilize, turnaround, and ultimately transform the Emergent BioSolutions Inc. business. Executing on this plan required making difficult but necessary decisions, including divesting sites and assets, to improve our profitability. Through the great efforts of the entire team, we completed our first phase of the plan, the stabilization phase, marked by a reduction in debt, a stronger balance sheet, and a renewed focus on our mission. We are delighted to have completed this first phase ahead of schedule. In 2025, we will be executing our turnaround phase in transforming the company to generate long-term profitable growth. On slide seven, we highlight our important accomplishments since we reported fiscal year 2023 results last year. In 2024, we dramatically improved our financial position. This, we believe, gives us operating flexibility and the ability to focus on driving growth. Among those key actions, we delivered on our plan to stabilize the company and secure commitments, including reducing net debt, refinancing, and extending the debt maturity to 2029. We improved profitability and operating cash flow. We strategically divested assets and streamlined our site network while meeting internal product delivery commitments for customers and significantly improving operating margins. Reduced operating expenditures by $130 million while delivering on our core product commitments. We refocused our core business to medical countermeasures and NARCAN nasal spray. Of note, we have continued to combat the opioid epidemic with NARCAN nasal spray. In 2024, we distributed 11 million two-dose cartons or 22 million doses across the US and Canada. We continue to be the market leader in a growing naloxone nasal spray market. We've been on the front line supporting public health preparedness with the US and other allied government customers addressing threats like anthrax, smallpox, MPOX, and botulism. We secured $550 million in MCM contract awards. And lastly, we resolved legacy legal and quality issues, improved our quality and compliance systems company-wide. I want to underscore that we treat critical stabilization priority on ensuring the highest standards of patient safety, quality, and compliance. Progressing to Slide eight, our success in 2024 allows us to focus on the following five key critical areas and goals for our 2025 plan. Strong profit follow-through from 2024 with a focus on higher net income, increased gross margin percentage, and an increased adjusted EBITDA margin percentage. Operating cash flow growth versus 2024 and strong positive free cash flow. Rebuilding our product pipeline. Our CMO and head of R&D, Dr. Simon Lowry, will be driving these efforts. Further optimization of manufacturing operations in partnership, potentially taking additional steps to streamline our manufacturing footprint. And lastly, strategic capital deployment for opportunistic growth through business development. These will be the right size investments that we see clear value and potential to harness our expertise and capabilities similar to our Klax Auto business development transaction. Before handing it to Rich for a more detailed financial review, I want to set the stage for our 2025 guidance. We view guidance as a commitment to our stakeholders. Heading into 2025, we believe there are dynamics in fact that lead us to take a more conservative approach to guidance. The onboarding of a new administration may cause shifts in the timing for our delivery, or may cause uncertainty due to staff transitions. Over the course of more than twenty-five years serving and partnering with government customers, we are very familiar with the gaps we see shifts. Our products are mission-critical, they believe and understand we believe that has been shared by many administrations. And today, enjoy bipartisan support for the importance of biodefense and decreasing opioid overdose deaths. Notwithstanding our conservative full-year guidance, we believe we will have a strong first quarter. As standard practice, we plan to update our guidance every quarter as we have in the past years. Following Rich's comments, I'll spend some time elaborating on these series. I'll now hand the call over to Rich.
Richard Lindahl: Thank you, Joe. Good afternoon, everyone. We appreciate you joining the call. Over the course of 2024, we made significant progress stabilizing the financial foundation of the business. And have moved into the turnaround phase of our multi-year transformational plan. Unique set of medical countermeasure and opioid overdose reversal products provides life-saving capabilities to people around the world. Drive sustainable revenue over time, and garners bipartisan support. And we believe the actions we have taken over the past two years have brought us to an inflection point in profitability and cash flow, will enable us to identify and pursue value-creating growth opportunities as we move forward from here. Joe will have more to say about our vision after I run through the numbers. Our fourth quarter results were broadly in line with the guidance we provided on our third-quarter call. Our key financial metrics are summarized on slide ten. Total revenues of $195 million, down versus the prior year as lower NARCAN sales and Amtrac sales timing were partially offset adjusted EBITDA of $21 million, an increase of $18 million versus the prior year. Total segment adjusted gross margin of 40% improved 800 basis points year over year as a result of product mix as well as an improved cost structure stemming from our previously announced restructuring efforts, and a total reduction of $49 million or 41% in operating expenses across R&D and SG&A versus the prior year. Of note, these expense levels now represent a dollar run rate that incorporates the full impact of our cost savings efforts. Transitioning to Slide eleven and our strong full-year results. Total revenues were $1.04 billion, roughly flat versus the prior year. Total adjusted EBITDA of $183 million, which is a $205 million positive swing versus the negative $22 million in 2023. Total adjusted gross margin of $457 million, an annual improvement of $121 million or 1200 basis points as a percentage of revenue. Full-year operating expense of $379 million was down $101 million or 21% year over year. With reductions in both R&D and SG&A driven by the cost actions taken in the second half of 2024. Moving to Slide twelve, our full-year revenue highlights with total product sales of $909 million, a slight decline versus the prior year as increased smallpox revenue from both U.S. Government and international customers was offset by lower NARCAN sales and the timing of anthrax sales. Within NARCAN, we continue to remain competitive on price and focused on our competitive advantages. Including our brand recognition, market-leading distribution capabilities, and customer service. Full-year volume was strong, 2024 levels consistent with 2023. Price is lower compared to 2023, but has stabilized in the back half of 2024. Represents an improvement year over year of $26 million driven by the $50 million one-time settlement agreement with Janssen. And finally, contracting grant revenue was $30 million for 2024, primarily from the continued US government funding of the EBONDA program for treatment of Ebola. We Slide thirteen, we recap the material achievements that we accomplished ahead of expectations in 2024. We completed $117 million of asset sales, and received a $50 million payment from Janssen Pharmaceuticals as a result of the company's settlement agreement. We improved the overall cost structure with actions producing $130 million of annualized savings in 2024. This brings the total operating expense savings to a quarter billion dollars over the last two years. While maintaining capabilities across our core product portfolio. We also received $30 million in development milestone payments from Bavarian Nordic. These key liquidity enhancements supported the refinancing of our prior credit facility as we entered into a new $250 million term loan from Oak Hill Advisors, extending the maturity of our debt to August 2029. And we closed a $100 million asset-backed revolving credit facility led by Wells Fargo. Also maturing in 2029. On slide fourteen, we highlight the significant improvements to our financial metrics. At the end of 2024, we had total liquidity of $200 million comprised of $100 million of cash and $100 million of undrawn revolver capacity. This outcome was aided by generating $59 million of operating cash flow, an improvement of $265 million year over year. As a result of refinancing our debt and the improved cash position, net debt at year-end was $601 million, a $156 million or 21% reduction since the beginning of 2024. This outcome, coupled with the strong performance in the business, materially lowered our net leverage to 3.3 times adjusted EBITDA. The credit rating agencies have also recognized the improved financial position of the company. Moody's and S&P both upgraded our corporate family credit rating to B3 and B- respectively, with stable outlooks. I will also note that the prior going concern qualification has been removed from the audit opinion and financial disclosures that will be in our 10-K filing. Transition to Slide fifteen. It's important to note that total 2024 revenue of $1.04 billion includes approximately $115 million that is no longer in the base as we begin 2025. First, the Janssen settlement agreement resulted in $50 million of revenue in our Bioservices business. And RSPL in Camden combined generated approximately $65 million of revenue prior to their divestiture in the third quarter of 2024. Accordingly, as a starting point for 2025, the normalized 2024 revenue was roughly $930 million. With that backdrop, please turn to Slide sixteen for full-year 2025 guidance. Total revenue guidance for 2025 is $750 million to $850 million. As a reminder, Joe noted that we are being conservative due to the transitions in Q. We are forecasting 2025 adjusted EBITDA of $150 million to $200 million. The midpoint is approximately consistent with 2024 full-year results even in light of the lower revenue guidance. This highlights our significant efforts to improve the go-forward cost structure and profitability of the business. We believe that this year may represent a trough in adjusted EBITDA going forward as we expect to grow our profitability from here. We're also anticipating a return to positive bottom-line earnings. We forecast a range of net income from $16 million to $66 million, a range of adjusted net income from $20 million to $70 million. For the full year of 2025, we're forecasting total segment adjusted gross margin of 48% to 51%, roughly a 500 basis point expansion at the midpoint versus 2024 results, aided by our leaner and more focused manufacturing footprint. Moving to segment level revenue guidance, we're forecasting MCM product sales of $435 million to $485 million across US government and international orders and we estimate a range of $265 million to $315 million in our commercial products, which includes both NARCAN and Kloxato. As part of this guidance, we expect NARCAN to continue to maintain a leading market share of the growing total addressable naloxone nasal spray market. And for the first quarter of 2025, we're forecasting a total revenue range of $200 million to $240 million, which is a strong and healthy start to the year. In closing, on Slide seventeen, we've entered the turnaround phase of our multiyear plan ahead of schedule. We are anticipating strong profit follow-through from 2024, even with lower top-line revenue. We are focused on improving from here. Our guidance therefore implies a very strong margin improvement story which in combination with our expectations for continued positive operating cash flow and anticipated Bavarian Nordic milestone payments in 2025, positions us to capitalize on growth opportunities for the business as we move forward. For more on that, I'll now turn the call back over to Joe.
Joseph Papa: Thank you, Rich. Turning to slide nineteen, I'd like to provide context around the financials and our business outlook for 2025. Our mission to protect and save lives of opioid overdose is evident in the work we do to increase access, awareness, and the availability of over-the-counter NARCAN. NARCAN remains the market leader among intranasal naloxone products with an approximately 75% share market. We believe our continuous leadership can work to expand OTC access. NARCAN is a key contributor to the declining national rate of opioid overdose death recently reported by the CDC. So while this preliminary data points to the first meaningful decline in opioid overdose deaths in years, we are still seeing the devastating effects of opioid overdose. Tragically, opioid overdose remains high in Kansas, especially in British Columbia, Alberta, and the indigenous communities. In the US, the public interest channel is backed by over $50 billion in opioid settlement funds from large pharma companies expected to flow through over the next ten to fifteen years. And another $3.5 billion in federal grants supporting Naloxone Access in 2025. This funding is critical as there are still an unacceptable number of opioid overdoses and deaths caused by fentanyl. I'd like to review the critical elements that underpin our NARCAN franchise as we work to continue reducing opioid overdose deaths in 2025. The NARCAN nasal spray value drivers continue to support a differentiated and competitive price point for our customers. We expect to maintain market share leadership and anticipate the total naloxone market unit volume will grow by mid to high single-digit rates. We are expanding reach into businesses. One important aspect of this work is our commercial engagement with the National Safety Council. We are starting to make headway with several major companies that are prioritizing first aid safety kits with OTC NARCAN. Our hope is that someday every first aid kit in the US and Canada will include a box of NARCAN nasal spray. We've built a national logistics network, NARCAN Direct, which serves eighteen thousand different endpoints for public interest customers. This program allows them to get the product volumes that they need when they need it. We believe today that no other company has the capability to match our NARCAN nasal spray production capacity. As we announced in January, we secured commercial rights for product sales and marketing in the US and Canada to Kloxado nasal spray. This additional solution helps expand Emergent BioSolutions Inc.'s ability to distribute multiple life-saving opioid overdose emergency treatments to patients, customers, and communities in need. In summary, we believe NARCAN is the standard of care and plays an important role in reducing the number of overdoses that result in death. And given Emergent BioSolutions Inc.'s proven track record of supplying NARCAN nasal spray to states, first responders, law enforcement, community groups, and other organizations, adding Kloxado nasal spray provides customers with the flexibility to tailor their treatment for specific patients. Moving to slide twenty, our MCM business. It's worth noting we're continuing to provide essential biodefense service for the increasingly dangerous world that we live in, where bioterror threats are constant and ever-changing. The four key priority threats of the administration for strategic preparedness and response are anthrax, smallpox, Ebola, and botulism. These are a lot of the key focal points of our MCM portfolio. We believe our BioDefense portfolio is well-positioned with visibility into future procurements based on our long-term contracts. As a reminder, we received $550 million in biodefense contract modifications in 2024. It is also important to note that the Department of Defense has a mandatory funding allocation for BioThrax, which is a pre and post-exposure anthrax vaccine for military personnel. We see opportunities for Emergent BioSolutions Inc. to continue playing an active part in addressing the ongoing MPOX outbreak with ACAM2000. We're also enthusiastic about the potential of other MCM products including Tembexa and Ebanga, and their ability to contribute to future growth. We have US government funding committed through 2027 for Tembexa, which further demonstrates our MCM assets are important for biodefense. Moving to slide twenty-one with respect to important catalysts to enable growth in 2025. We are looking forward to the ACAM2000 emergency use listing with the World Health Organization. And the MPOX public health upgrade continues to evolve. We remain focused on revenue diversification within our existing businesses and improving our core capabilities to drive revenue growth. This includes opportunities to drive growth, such as the anticipated incremental revenue to be generated by Kloxado nasal spray. At the same time, we will be looking internationally for growth opportunities across our product portfolio. I'd like to note that we're also anticipating $50 million of Bavarian Nordic chikungunya vaccine approval milestone payments starting in the next thirty days. As we execute on our 2025 turnaround initiative, we will strive for the highest quality, ethics, and compliance. In conclusion, for all the reasons we have discussed, we believe Emergent BioSolutions Inc. is poised for a significant turnaround opportunity that we believe will lead to profitable and sustained growth. With that, I look forward to taking your questions. Operator, if you can open the lines to your questions, please.
Operator: Please standby while we compile the Q&A roster. Our first question coming from the line of Jessica Fye with JP Morgan. Your line is now open.
Joseph Papa: Hey. This is Nick on for Jessica Fye.
Richard Lindahl: Thanks for taking your questions. First, on your NARCAN guidance, can you just provide a bit more specifics on the underlying assumptions around maybe volume and price? I think you stated that you expect growth for the overall naloxone market. And while you expect to maintain leading share in that market, can you just comment on how that's broken down in the public interest market versus other channels? Just how much share you expect in 2025 relative to 2024? And any guidance on maybe additional pricing pressure in that market?
Joseph Papa: Sure. We're trying to take the first part of it and go without this. Still in some other parts, but go ahead. Okay. Alright. Thanks, Nick. Appreciate the question.
Richard Lindahl: So we've talked about on our last call how the pricing in the first half versus the second half was differential, but that we had seen stabilization in the pricing in the second half. We've broadly seen that continue as we've come into this year. Having said that, we do expect there to be a follow-through impact of that reduction in pricing that we saw in the second half to impact the full-year results. I would say that is the biggest driver of the guidance as we go forward into 2025. We have put a fairly wide range to reflect a range of outcomes. We think it's a fairly conservative range. And we'll certainly update that as we go through the year. We do continue to anticipate that we'll maintain a very strong and certainly majority market share of the public interest market as we go forward. And I think that's those are the comments that we'll make at this point.
Joseph Papa: Sure. Maybe just yeah. I think that's one of the points. Public interest, I think about seventy-five percent of our total business, I think, was one of the questions you had answered in there as well. But I think, Rich, answered everything else. Great.
Richard Lindahl: And then maybe on oh, yeah. Just one more. You guys are guiding to adjusted EBITDA in 2025. It's roughly flat year over year at the midpoint. I know you kinda commented on 2025 guidance. You kinda representing a trough, but how are you thinking about it evolving maybe in 2026 plus on a magnitude basis? And how sensitive is that to the NARCAN dynamics that you're seeing?
Joseph Papa: Yeah. Well, I think one of the great things we're doing now as we think about the business is where we do we have a diversified business. We've got a number of different assets, obviously with medical countermeasures in NARCAN and now Kloxado. And as I think Rich mentioned, I mentioned that we continue to look to do some additional business development opportunities in 2025 and beyond. So I think it's really those all those that will contribute to the overall growth, their opportunities for growth in our adjusted EBITDA. Obviously, we're not gonna say anything specifically about 2026 yet. I think it's gonna be diversification of our portfolio, the additional organic opportunities we have with what we're doing with Tembexa. What we are doing with the Ebanga for Ebola, what we're doing for the MPOX opportunity. We did not build MPOX into our 2025 guidance at this time. But we obviously are looking to continue to extend that. That for gift would be an upside for us if we're proportioned up to get that business. So those are all the things that we think will help drive the internal opportunities for 2026. Obviously, on the external business development side, we've got certainly Kloxado, what we're and then what other types of business development deals we can do for the future with other companies that are either working in the area of the BioDefense Medical Countermeasures or companies that are working with products for first responders. Those will be the two main avenues which we will pursue for additional business development. But that was the reason probably amazing thing I'd add to the 2026 question. Great. Thank you. Hey, AbbVie, let's take our next question, please.
Operator: Our next question coming from the line of Brandon Fox with ROTHAM and Renshaw. Your line is now open.
Brandon Fox: Hi. Thanks for taking my questions, and I appreciate all the color. Sorry to stick on the 2026 theme, but I think it's just important. Can you just talk about sort of the SG&A OpEx? Sorry. Not the SG&A, but the broader OpEx footprint in your guidance for 2025 do you think about that sort of beyond 2025?
Richard Lindahl: Yeah. I think, you know, as I commented on the call, I think as we came out of the fourth quarter, got the full benefit of the actions that we've taken in the run rate for the fourth quarter. I think we'll stay focused on continuing to scale the SG&A footprint along with the business as we grow revenue. So I think that, you know, there will be opportunities for us to look for additional efficiency improvements on SG&A.
Joseph Papa: And I think you're seeing that in what Rich was saying. But you look at what's happening with everything from an adjusted gross margin, just overall margins that we're expecting when you do, like, the and operating reductions. I think all those are packaged together as how we're looking at, you know, the expenses we've been taking out of the business in 2023 and 2024, and now we're seeing the full-year benefit of it in 2025.
Brandon Fox: Great. Thanks. And maybe just coming back to Kloxado. Hope I said that correctly. How are you gonna position that relative to market? I know you mentioned sort of, you know, now that you own a some you know, awesome users of it. You know, I can see it obviously plugging into your distribution system. But, you know, do you expect to grow Kloxado by sort of positioning it in any way or really being a distribution-driven growth story?
Joseph Papa: First and foremost, when we acquired Kloxado, we made the comment that we think Kloxado is a great opportunity to leverage the platform we have today, for example, with NARCAN direct programs. We'll make it easier for first responders to get access to the product by making it work through our NARCAN direct distribution capability. So first and foremost, we think it's gonna be easier to do business as we put together Kloxado with NARCAN into our distribution capabilities. Number two, I think as you know and the people you read in the news, there are an increasing number of fentanyl overdoses or fentanyl is causing an increased percentage of the overdoses out there. We think Kloxado may be appropriate for some of those increased fentanyl dosages that are out there in the marketplace. As you know, we want to make sure that if needed, we have Kloxado. If needed, we have the standard care with NARCAN. Either way, the first part of it goes, we think we have the capability to make it easier for them to get what they need for their patients and the individuals throughout their treating. So look to us to really just leverage our current distribution and capability with our Salesforce and put one more product in their hands to help all of our customers with this. So that's the primary way we'll do it. The average individual first responders always gonna have to make the judgment as to whether or not they need a four milligram or an eight milligram. We believe that four milligram is the standard of care, but there is increasing need for eight milligrams and glad to have that capability now with the Kloxado transaction.
Brandon Fox: Great. Thank you very much. Thank you. Operator?
Joseph Papa: Next question please.
Operator: Our next question coming from the line of Raghuram Selvaraju with H.C. Wainwright. Your line is now open.
Eduardo: Hi. This is Eduardo on for Raghuram Selvaraju from H.C. Wainwright. I guess I was guess we're talking about Kloxado. I wanted to ask, just confirming that it's already available within the NARCAN direct system. And if not, when do you expect that to happen?
Joseph Papa: Yeah. So we announced the transaction in January. And now we're working through all the logistics. They're currently obviously, Hikma has some product in the system already. So we're working through all the logistics now. And we expect to have it in the next thirty to sixty days is when we'll have it going through our order and capabilities. But you obviously want to make it easy for the first responder for them to order it to work through our system. So we're working through all those details to ensure that it's easier for the first responders to get the product and make it a value add for them, not make it a difficult process. So look to us to have more to say about that in the next thirty to sixty days.
Eduardo: Got it. That's really helpful. And just pivoting towards MPOX. Curious if the MOSA trial is still on track for its first interim analysis during the end of this first quarter.
Joseph Papa: So what we're doing with MPOX is we're working with the World Health Organization specifically to get the emergency use label. We expect to hear more from them sometime in the near future. Obviously, as we go through changes in administration, changes in policy, we're working through all the questions there, but we'll just have more to say about that specifically as we get feedback from the World Health Organization. Specific to additional clinical trial work, we're doing that clinical trial work especially with the VUEZECCA and with looking to get additional data on our ACAM product. That's not something specifically that we're gonna talk too much about right now, but we do have additional clinical trials underway in the smallpox area.
Eduardo: Understood. Thanks. And I guess one last one regarding other MCM. Do you have any or do you expect any further near-term contract adjustments, option exercises under procurement orders for the BioDefense products? And if so, which ones?
Richard Lindahl: Yeah. This is Rich, Eduardo. I think what you should expect is that, you know, the kind of the pattern that was followed in 2024 is a good marker for what is likely to happen in 2025. You know, the timing of specific option exercises could shift from one quarter to another, but broadly speaking, we expect that the US government is gonna continue to execute against those contracts and issue us procurement orders as we go through the year.
Joseph Papa: And the only thing I'd add to what Rich said is once again, he said in his own comments during the call, but I think we expect a strong first quarter as a result of the activities we had in 2024 and just really the momentum we had estimated 2024 is gonna allow us to have a very strong first quarter, which we obviously think is a great way to start the new year.
Eduardo: Great. Thanks so much for the clarity.
Operator: Thank you. And I'm showing no further questions in the queue. I will now turn the back over to you, Mr. Joseph Papa, for any closing remarks.
Joseph Papa: Thank you, operator. Thank you everyone for joining us, ladies and gentlemen. We appreciate everyone's attention to our earnings call today. Thank you for your participation. Please note, in our case version of today's webcast, as well as a PDF version of our slides used today will be available on our website accessible through the investors landing page on the company website. Thank you again for joining us. We look forward to speaking to all of you in the near future. Have a great day.
Operator: This concludes today's conference call. Thank you for your participation and you may now disconnect.